Operator: Hello, and welcome to Aviat Networks' Fiscal Q2 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Andrew Fredrickson. Sir, you may begin.
Andrew Fredrickson: Thank you, and welcome to Aviat Networks' second quarter fiscal 2025 results conference call and webcast. You can find our press release and updated investor presentation in the IR section of our website at www.aviatnetworks.com, along with a replay of today's call. With me today are Pete Smith, Aviat's President and CEO, who will begin with the opening remarks on the company's fiscal quarter, followed by Michael Connaway, our CFO, who will review the financial results for the quarter. Pete will then provide closing remarks on Aviat's strategy and outlook, followed by Q&A. As a reminder, during today's call and webcast, management may make forward-looking statements regarding Aviat's business, including but not limited to statements relating to fiscal guidance, financial projections, business drivers, new products and expansions, and economic activity in different regions. These and other forward-looking statements reflect the company's opinions only as of the date of this call and webcast and involve assumptions, risks, and uncertainties that could cause actual results to differ materially from those statements. Additional information on factors that could cause actual results to differ materially from the statements expressed or implied on this call can be found in our most recent annual report on Form 10-K filed with the SEC. The company undertakes no obligation to revise or make public any revision of these forward-looking statements in light of new information or future events. Additionally, during today's call and webcast, management will reference both GAAP and non-GAAP financial measures. Please refer to our press release, which is available in the IR section of our website at www.aviatnetworks.com, and financial tables therein, which include a GAAP to non-GAAP reconciliation and other supplemental financial information. At this time, I would like to turn the call over to Aviat's President and CEO, Pete Smith. Pete?
Pete Smith: Thanks, Andrew, and good afternoon. We are pleased to report a strong quarter of financial and operational performance for Aviat Networks. Let's discuss the highlights of our second quarter of fiscal year 2025. Total revenue of $118 million, up 26% versus the same period a year ago, non-GAAP gross margin of 35.3%, adjusted EBITDA of $14.8 million, up 22% versus the year-ago period, non-GAAP EPS of $0.82. Let's recognize that the whole Aviat team delivered for our customers, suppliers, partners, and shareholders. The dedication to continuous improvement and customer focus resulted in the highest quarterly revenue the company has had in over a decade, and record quarterly adjusted EBITDA. We benefited from operating leverage this quarter. Gross margin returned to levels comparable to recent quarters. Profitability at the adjusted EBITDA and non-GAAP net income level were strong. Thanks to a higher level of revenue and margin, as well as disciplined spending on operating expenses. These factors, in addition to an intense focus on working capital, aided the company in generating positive cash from operations in the quarter. While we still have much work to do, I see this quarter as a strong indicator of what can be accomplished following our strategy. Let's talk a little more about each of our end markets. With mobile service providers, our results were strong. Thanks to a robust quarter from the Pasolink products and services, improved margins in the India business versus the first quarter, and improving business in the EMEA, and Latin America regions. Revenues in the quarter related to Pasolink were just shy of the $35 million level. This is the annual contribution rate that we expect the Pasolink acquisition to have by the end of fiscal year 2025. At this scale, we are generating meaningful earnings contribution from the acquisition. We are pleased with the progress we have made. Encouragingly, our Pasolink orders for the last three quarters have averaged $35 million, setting us up for continued growth from Pasolink and giving us confidence we will meet our $140 million run rate target by the end of the fiscal year. We have shipped our first Pasolink radio from our contract manufacturer in Thailand during the second quarter. This is a major achievement by the team, although we still have more to do in the quarters ahead. We believe that once completed, this move will improve product lead times for customers and lead to better margins for our shareholders. Regarding the Tier 1 environment in the U.S., while we still expect near-term demand to remain muted compared to last year, Q2 saw a sequential increase versus Q1. This reinforces our belief that the headwinds we are currently facing are timing related rather than the result of large CapEx shifts. Moving to private networks, we had a strong quarter from our private networks business. In public safety, we continue to serve our large statewide networks that we have won over the last several quarters, in addition to numerous other public safety networks. The spending environment in this segment remains healthy and we continue to look for areas of shared gain opportunity. In the rural broadband space, Aviat continues to hold its place as the share of demand leader for microwave backhaul with wireless internet service providers. Although we do not expect to have revenue in fiscal 2025 related to the $42 billion Broadband Equity Access and Deployment program or BEAD, I would like to answer some questions that have been on top of many investors' minds since November. First, there continues to be growing recognition of the importance of wireless broadband alternatives in the BEAD program to make funding go as far as possible. Some states, such as Utah and Arizona, have defined the upper cost threshold for fiber connection before turning to an alternative technology. We expect this sentiment to continue to grow, which bodes well for wireless applications. Secondly, we are asked about Low Earth Orbit for LEO satellite internet companies and BEAD. While LEO satellite internet has a value proposition for very remote or difficult to reach locations, wireless internet service providers can provide better performance and reliability at a lower monthly cost to their customers than what is currently available from the LEO internet services. We will see what, if any, changes occur to the BEAD program with the new administration. Aviat stands at the ready to assist state broadband offices and internet service providers with their backhaul needs. Thanks to our U.S. footprint and our Build America, Buy America compliant products. Regarding our products, we have made a few recent announcements. We strengthened our software cybersecurity offering by enhancing our secure software development lifecycle process and software vulnerability alert service. Our software and firmware development continues pace with the latest cybersecurity requirements. Given the nature of the critical communication networks we are part of, we believe it is extremely important to remain up-to-date on cybersecurity measures to help keep our customers safe from such threats. Additionally, we are introducing a new product solution, Multi-Band max or MB max. This is an exciting offering that enables up to 25 gigabits per second on a single antenna via combined microwave and millimeter wave. MB max enables more capacity over longer distances with better reliability using fewer and smaller antennas than competing solutions, resulting in a lower total cost of ownership for our customer. We expect to begin shipping MB max in the coming months and we'll have more details to share with customers soon. I would like to now turn the call over to Michael to review the financial results of the quarter before coming back for some closing remarks.
Michael Connaway: Thank you very much Pete and good afternoon everyone. I'll review some of the key fiscal 2025 second quarter results. Please note that our detailed financials can be found in our press release and all comparisons discussed are between the second quarter of fiscal year 2025 and the second quarter of fiscal year 2024 unless otherwise noted. For the second quarter we reported total revenues of $118.2 million as compared with $93.7 million for the same period last year, an increase of $24.5 million or 26.2% year-over-year. North America which comprised 49% of our total revenues for the quarter was $58 million, an increase of $7.3 million or 15% from the same period last year due to good execution and private networks. International revenue was $60.2 million for the quarter, an increase of $17.2 million or 40% from the same period last year. This growth was driven primarily by the addition of revenues from the Pasolink acquisition. Our trailing 12-month book-to-bill was over one in the quarter. Gross margins in 2Q were 34.6% on a GAAP basis and 35.3% on a non-GAAP basis. This compares to 38.8% GAAP and 38.8% non-GAAP in the prior year. Gross margins were impacted by the addition of Pasolink, product mix in the quarter and comping against a record level of gross margin profitability in 2Q 2024. Second quarter GAAP operating expenses were $32.9 million, flat versus the prior year. Non-GAAP operating expenses which exclude the impact of restructuring charges, share-based compensation and deal costs were $29.1 million, an increase of $3.7 million versus the prior year. This increase is due to the additions of the Pasolink and 4RF acquisitions. Second quarter operating income was $8 million on a GAAP basis and $12.6 million on a non-GAAP basis. This compares to $3.4 million GAAP and $11 million non-GAAP in the year-ago period. The second quarter tax provision was $1.6 million. As a reminder, the company has approximately $450 million of net operating losses or NOLs that will continue to generate shareholder value via minimal cash tax payments for the foreseeable future. Second quarter GAAP net income was $4.5 million and non-GAAP net income which excludes restructuring charges, share-based compensation, M&A related and other non-recurring expenses and the non-cash tax provision was $10.5 million. Second quarter non-GAAP earnings per share came in at $0.82 on a fully diluted basis. Adjusted EBITDA for the second quarter was $14.8 million or 12.6% of revenues, an increase of $2.7 million or 22% versus last year. As Pete mentioned, this marks a record quarterly adjusted EBITDA for Aviat. Moving on to the balance sheet, our cash and marketable securities at the end of the second quarter were $52.6 million. Our outstanding debt was $74.9 million, bringing our net debt position to $22.3 million, an improvement of $10 million versus the first quarter of fiscal 2025. We generated cash from operating activities of $20.8 million in the quarter. Thanks to profitable results and improvements in our working capital position. This is Aviat's best cash from operating activities result in at least seven years. Additionally, during the second quarter, we deployed capital to repurchase 34,600 Aviat shares. With that, I'll turn it back to Pete for some final comments. Pete?
Pete Smith: Thanks, Michael. We are pleased with the results posted in the second quarter. In reflection on the company's performance over the last several quarters, we've made some changes to the team to drive scale and growth in the years ahead. We have brought in a new EMEA commercial leader and a new leader for our global operations and supply chain. We are encouraged by their impact thus far. In addition, we have strengthened the board and audit function. Please refer to the recent announcement of Scott Halliday. We are leaving our guidance as previously stated. Please see the seasonality chart in the investor deck for modeling purposes, slide 21. With that, operator, let's open up for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Jaeson Schmidt with Lake Street. Your line is open.
Jaeson Schmidt: Hey guys, thanks for taking my questions and congrats on the strong results. I mean, just want to start with the results. I'm curious if you could just lay out what the one or two businesses or customers that really drove that strong outperformance in the December quarter?
Michael Connaway: Yes, maybe I'll just start with how we did on bookings and then start with the good performance from the Pasolink business as Pete alluded to. We almost hit the ramp rate on revenues that we committed to on the year and then bookings was in excess of the revenues that we recorded in the quarter. So Pasolink bookings was upwards of $40 million and then we had a really nice quarter from the recently acquired 4F business as well and that was helpful from a year-over-year standpoint in North America. So it was really good to see those two recent purchases performing above the plan. And then just from a booking standpoint, we talked about it a little bit in my remarks, but the third quarter in a row where the book-to-bill was greater than one and just from a mathematical or numerical standpoint in the quarter, book-to-bill was 1.08. So those commercial dining nights are just kind of a smattering of what went well in the quarter.
Jaeson Schmidt: Okay, no, that's really helpful. And just want to make sure I fully understand your comments surrounding the U.S. Tier 1. I know you noted it was up sequentially in Q2, but have your expectations changed at all for fiscal '25 in that market?
Pete Smith: I think the U.S. Tier 1 we have factored into our guidance and a faster recovery would be a benefited, Jaeson. So that's the best way to think about it.
Jaeson Schmidt: Got you. And then just the last one from me and I'll jump back into queue. You noted kind of the first radio from your CM in Thailand on the Pasolink business. Just curious if you could help us understand where Pasolink gross margins are and how we should think about those scaling the rest of this fiscal year?
Michael Connaway: Yes. Gross margins for the company overall rebounded really nicely in the second quarter versus where we're in the first quarter. And part of that was a better performance in Pasolink. We think that over the second half of the year as we complete the manufacturing transfer into our CM more fully that there's probably a little bit more runway on the gross margins, more likely in the fourth quarter versus kind of the mid-30s position that we were in the second quarter, but Pasolink both revenues and gross margins, really good story.
Jaeson Schmidt: All right, perfect. Thanks a lot, guys.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Scott Searle with Roth Capital Partners. Your line is open.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Great job on the quarter, guys. Really impressive to see the quick snapback. Maybe to dive in, just from a global supply chain standpoint, Mike, Pete, could you take us through your current exposures, what risks you've got, if any, in the current rapidly evolving tariff environment? And could you also address a little bit more in detail some of the working capital improvements? It sounds like we had a great quarter this quarter, but if I look at the inventory turns and DSOs, it looks like there's more room for improvement. So how should we be thinking about that over the next couple of quarters?
Pete Smith: All right. So I'll do the supply chain and inventory, and then Michael can do the working capital. So in COVID, Aviat distinguished itself via the supply chain management. I think the environment with respect to tariffs coming, tariffs going is challenging. It's likely to produce some ripples in the supply chain. So we've dusted off the COVID playbook, and we're going to use that learning to deal with any potential supply chain interruptions, right? I would say in the last week, we've had discussions with three Fortune 500 U.S. based companies about supply chain. Those three companies are really very happy that we have a U.S. basis and are pretty well-positioned to deal with what the supply chain interruptions that the tariffs may confront us with. But then on inventory, I would say, we are gearing up for the Pasolink transition to the contract manufacturer. So we will probably have peak inventory this quarter as we complete our bridge build. And so I would say Q4 and beyond will start to turn some of that inventory into cash. And then let me turn it over to Michael on the working capital.
Michael Connaway: Yes, no. So weaving the working capital into cash overall, the CFOA that we printed was 21 million, which was, as we said, a record for the company. If you look back at both Q2 of 2023 and Q2 of 2024, the two most recent comparable periods CFOA for Aviat was negative in both of those other quarters. So the improved results in 2025 were driven because we achieved our first quarter of material working capital reductions since we've owned Pasolink sequentially. And that looks even more impressive when you consider that we did it on roughly $30 million more revenues versus Q1. So all-in-all, really pleased with how cash finished in Q2. But you alluded to it, Scott, and you're right, there's more to do on it. And Pete kind of underlined it. Q3 inventory probably doesn't get much better. Pete said peak inventories. He and I are, of course, on the same page. But that unlock will materialize itself likely more in Q4 and provide that tailwind, Scott, that you alluded to a little bit for our fiscal 2026.
Scott Searle: Great. Very, very helpful. And maybe quickly, kind of shifting gears to some of the key end markets, it sounds like private networks, and I looked at the North American sales number, were covered pretty nicely. I wonder if you could provide a little bit more color on that front. And then geographically from a service provider standpoint, I think at a high level, we're hearing stabilization from other telco vendors out there across the broader macro landscape, whether it's Europe, North America, Latin America. I wonder if you could talk a little about what you're seeing from a geographic standpoint, engage with those carriers and kind of how that's giving you comfort when you look at fiscal '25 and beyond?
Pete Smith: Okay. So let's just take private networks briefly. I -- the public safety market is continuing to perform. If you want a proxy for that, look at the leader in the public safety space, Motorola. Our second biggest application set is utilities. Utilities have been under invested for 40 years. And if you look at the industrial companies that sell into the utility space, all the analysts in that industrial utility space are bullish. And we would say that we're bullish as well. On the, I think on the U.S. Tier 1, it's stable. It's at a lower level that we would like, but we've, we've already factored that in. And then outside of the U.S. there are some folks that are growing their networks. We would say Southeast Asia, Latin America, Eastern Europe are all areas of strength.
Scott Searle: Great, very helpful. Lastly, if I could, for RF, you mentioned that in your opening remarks, it sounds like that's off to a good start. I'm wondering if you could just provide a little bit of color in terms of, applications and geographies where you're seeing that adoption? Thanks.
Pete Smith: So the number one application is utilities. One of the remarkable things in our due diligence was that there was only 11% overlap in the utility customers. So there's got to be, as we train the -- cross train the sales forces there's going to be cross training -- there's going to be cross selling opportunities. So we're really excited about that. And 4RF was a relatively small company with a sales footprint in the U.S. but outside the U.S. it was very limited and we're starting to see some traction outside the U.S. particularly Europe, the Middle East and a little bit in Asia back. So it's good.
Scott Searle: Maybe one last one quickly and then I'll get back in the queue, but it's still a pretty broad range for the guidance for this year of 430 to 470. I'm wondering real quickly, just what are the swing factors from the lower end of that range to the higher end of that range? Thanks and congrats on the quarter again.
Pete Smith: Thanks. I think, some things that would swing it up would be better performance in rural broadband. You would see faster conversion of private network projects. Those would be two and global spending on network upgrades in the mobile network operators. That would be the screen track. Thanks, Scott.
Scott Searle: Thank you. Great quarter.
Operator: Thank you. Please stand by for our next question. The next question comes from the line of Theodore O’Neill with Litchfield Hills Research. Your line is open.
Theodore O’Neill: Yes, and congratulations on the quarter. I was wondering on the, on the margin improvement, is that a -- is it a mixed issue? Is it a utilization issue? Is it something to do with Pasolink? I was wondering if you could give us a little more detail on that?
Michael Connaway: Yes, no, great question. I'd say that our gross profits obviously rebounded really nicely in the quarter versus Q1 levels. And you hit it. It was really improved revenue mix mostly into critical nodes of performance. One, our geographic dispersion of our revenues as North America improved significantly versus 1Q. And then our product mix and software sales, as well was better in Q2 than in Q1. And just say one other thing, just cause Scott had the question on, for our rep, which we call internally our Aprisa business. But that business in particular had a really nice quarter for us on revenues. And that's an incremental boost to our mix too, since it trades at more favorable gross margins than Aviat's historical averages. So, all of those things were additive from a mixed standpoint in Q2 versus Q1.
Theodore O’Neill: Thank you. And I was wondering if you had any 10% or more customers in the quarter, if you could talk about that?
Pete Smith: Yes. So over the last two quarters, our largest customer has been different Q1 versus Q2, and neither of them tripped the 6% level. So the way we have very little, we have high customer diversification and very little customer concentration risk.
Theodore O’Neill: Okay. And I just want to compliment you on the seasonality slide 21. That's very helpful.
Michael Connaway: Yes. Thanks. Thanks very much.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Dave Kang with B. Riley. Your line is open.
Dave Kang: Thank you. Good afternoon and nice quarter guys. First question is regarding, North America Tier 1 SP, Service Providers. I guess, still muted despite very strong revenue. So, a couple of questions there. Is it because of, if it's the inventories they still have? And if so, what's the timeline as far as working down those inventories?
Peter Smith: It's not inventory related. It's there -- we're basically between projects.
Dave Kang: Oh, so it's more of a timing issue then.
Peter Smith: Yes. Yes.
Dave Kang: And so March quarter, is that going to be still that, you know, still going to be muted or how should we think about such trajectory?
Peter Smith: Look, I think, their run rate is factored into our overall guidance. And if they decide to turn the projects on, then we'll have upside. And if not, I think it'll materialize in Q1 FY '26.
Dave Kang: Got it. And then, past quarter, you also talked about Africa, a couple of Africa customers being we just update there with those customers?
Peter Smith: Yes. I would say we still see some weakness in Africa and that's largely driven by currencies and their ability to pay. And with the interest rates on the dollar and the Euro being elevated, I would say that Africa will remain at that level for the foreseeable future.
Dave Kang: Got it. So probably not this calendar year then, or?
Peter Smith: Yes. Well, look, I'm not in the business of predicting interest rates, but, so let's say that for this calendar year, I think Africa demand will be you know, relatively modest.
Dave Kang: And just, how should we expect Europe to do this year given, I guess, like Germany and other countries dealing with recession and geopolitical situations. So, any color or your expectation on Europe?
Peter Smith: We're seeing good funnel and good conversion of the funnel in Europe. So, there's been some legislation around the Chinese vendors, which could be some encouragement for us. So we see Europe as being potentially a growth driver, Dave. And I think some of the Chinese competitor dynamics are factored in there. And, I think there's some recognition of the Aviat value proposition, which could or could turn into growth for us.
Dave Kang: Got it. Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Tim from Northland Capital Markets. Your line is open.
Tim Savageaux: Yes, Tim here. Let me go back to the seasonality slide and maybe in combination with some of the commentary on the guidance range. But I guess I'll boil it down into this one question. Would you expect Q2 to be the peak revenue quarter for the year, I guess, given what you're saying about seasonality? And I understand you got some downward seasonality in the March quarter, typically. But given your bookings and backlog commentary that would seem to be fairly conservative, although that's what's implied at the low end of your range, that Q2 is likely to peak. So I'd love to get you to respond to that and then follow up?
Michael Connaway: Yes, look, I mean, we put that chart in there for a reason, so I'm glad that some folks has had kind of alluded to it and the setup on the year is, fairly well choreographed as it relates to how the seasonality pattern typically plays out. So, the persistence of a little bit less revenues in Q3 versus Q2. That is what we think will occur, as it relates to 2025 to relatively persistent trend. It gets even more pronounced if you were to adjust 2024, normalize out the effective past length. But then in Q4, which is our June quarter, revenues typically increase. And if the bookings, that we've seen in Q4, Q1, Q2, all three quarters of which have been greater than a book-to-bill greater than one, if those bookings persist in Q3, then there's no reason that Q4 shouldn't be potentially even a bigger revenue outcome than Q2. So that's kind of the, the setup in our minds as we're thinking about the second half of the year.
Pete Smith: I have a little bit to add on this, Tim. So, some of the March quarter is affected by weather, the installs of private networks, and if the weather is challenging, those installs will be done the first two weeks of April. So we want to be conservative with respect to the March quarter. And I think Michael answered his -- gave his perspective on the June quarter.
Tim Savageaux: Okay, great. And I'll follow up on the range question. Pete, you mentioned some factors that could drive things to the upside. I wonder if I could get you to talk more about what would have to happen to get the lower end of the range. Well, first we'll start that on revenue. And I think it becomes even a more difficult question on EBITDA, given how well your, how strong your margins were in Q2, but that's good. We'll get to that in a moment and start on the top line?
Pete Smith: Well, look, we talked earlier about, supply chain ripples and if there's a supply chain ripple that's tariff induced, I could see that, having a negative consequence, right? The globally Tier 1 demand is that, if there's pushouts or project delays, that could be another negative. Thirdly conversion, we have good backlog. How fast do we take that backlog design, configure the network and get it shipped. But if our customers are slower on that part of the conversion cycle, those could all have a impact where we'd wind up at the lower end of the range.
Tim Savageaux: Okay. But you're kind of seeing the opposite of that right now. So something material would need to change to the downside to get us to the low end. Is that fair to say?
Pete Smith: Look, we've just been through a very difficult time and I am not going to take it. I don't want to give anyone the idea that things are better than there are. I think we rather than tweak the model, we'd like to just have the opportunity to prove ourselves again and again.
Tim Savageaux: Right. Fair enough. But I had one more here, on the EBITDA side. So maybe a similar discussion, but even kind of more pronounced. Are there any factors or were there in Q2 that are, you know, in the gross margin side or elsewhere that are maybe non-recurring where you could see either some deterioration in gross margin or increases in OpEx that would kind of take you off your current EBITDA margin run rate?
Michael Connaway: No, I wouldn't say anything non-recurring, in nature like that, Tim, in the quarter.
Tim Savageaux: Okay. Thanks very much.
Operator: Thank you. Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to Pete for closing remarks.
Pete Smith: Thanks everyone for joining us. We look forward to updating you on Aviat's progress next quarter. Thanks again. Talk to you soon.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.